Operator: Good morning and welcome to Washington Trust Bancorp Inc. Conference Call. My name is Manny and I will be your operator for today. [Operator Instructions] Today's call is being recorded. And now, I will turn the call over to Elizabeth B. Eckel, Senior Vice President, Marketing and Investor Relations. Ms. Eckel?
Elizabeth B. Eckel: Thank you, Manny. Good morning and welcome to Washington Trust Bancorp Inc’s fourth quarter and year-end 2015 conference call. This earnings call will be hosted by Washington Trust executives Joseph MarcAurele, Chairman and Chief Executive Officer; Ned Handy, President and Chief Operating Officer; and David Devault, Vice Chair, Secretary and Chief Financial Officer. Please note that today’s presentation may include forward-looking statements and actual results could material -- materially differ from those statements. Our complete safe harbor statement, including a discussion of related factors appears as part of our earnings press release and it also contains within our quarterly and annual report that are submitted to the SEC. All of these materials are available on Investor Relations Web site at washtrustbancorp.com. Washington Trust trades on NASDAQ/OMX market under the symbol WASH. I’m now pleased to turn the call over to Washington Trust's Chairman and CEO, Joseph MarcAurele.
Joseph J. MarcAurele: Thank you, Beth and good morning and thank you all for joining us on today’s conference call. This morning I will provide an overview of 2015 performance. David will review the Company’s financial results. At the end of our prepared remarks, David, Ned, and I will answer any questions you may have about 2015 or for the year ahead. I’m pleased to report that Washington Trust marked its 215th year of service, on a positive note, as fourth quarter results led to a all-time record earnings of $43.5 million or $2.54 per diluted share. Our asset quality measures remained sound and our capital levels continue to exceed regulatory requirements. Washington Trust’s 2015 performance reflects our ability to achieve continued growth and profitability in a challenging and competitive environment. Our success is attributable to our team’s shared vision and commitment to providing excellent solutions and service to our customers. It’s also a result of our continued discipline regarding pricing and expense management. In a moment, David will provide a detailed analysis of our financial results, but I’d first like to discuss some of the year’s highlights. Washington Trust had very good deposit growth in 2015, as total deposits reached an all-time high at December 31. The large -- largest increases were in low-cost demand deposits and NOW accounts. In recent years, we’ve had success in attracting new deposits by opening new branches, improving our cash management offerings and growing our institutional and municipal deposit base. The results of our branch expansion are evident. Between 2010 and 2015, we opened five new branches and our Rhode Island deposit market share doubled from 4.72% in 2010 to 9.58% at June 30, 2015. This is according to FDIC reports. Two months ago, we opened our 21st branch located on the East side of Providence in Rhode Island. We feel good about this location and expect it to perform well. We continue to be pleased with our ability to attract low-cost deposits in an extremely competitive market. And in 2015, we had solid loan growth, as total loan surpassed $3 billion for the first time in our Company’s history. The largest increases in our commercial portfolio led by commercial real estate. What’s important to note is that we had a substantial number of commercial real estate pay-offs in 2015, but we’re still able to build and sustain a healthy pipeline throughout the year. We had strong fourth quarter closings and ended up and ahead for the year. We believe competitive and pricing pressures will continue into 2016, but we’re confident in our ability to continue to attract quality, commercial relationships in our market area. At December 31, 2015, total residential mortgage balances amounted to $1 billion. Mortgage banking has been a steady contributor to noninterest income, and 2015 was no exception. We had very strong mortgage production in Massachusetts, illustrating the success of our mortgage banking expansion strategy. We expect the momentum we’ve built in the Southern New England marketplace to continue into 2016. Wealth management revenues in 2015 amounted to $35 million, another record amount for the Company. The wealth management division ended the year with $5.8 billion in assets under administration, up from 2014 levels. Wealth management results also benefited from our third quarter acquisition of Halsey Associates, an SEC registered investment adviser, headquartered in New Haven, Connecticut. The Halsey acquisition provided us with a nice base of high net worth clients in the Connecticut, New York area is established -- help us establish and build our relationships with referral sources, prospects, and clients in the region. In December, we hired Kathleen Ryan, Esq. to head our Client Services team, and Trust and Estate planning group. Kathy is an attorney with more than 25 years of Trust and Estate experience and served as a partner at one of the regions most prestigious law firm. She is well respected in the legal community and will play a key role in our wealth management division’s future growth. During the year, we invested in new technology, rebrand -- and rebranded our wealth management division, introducing a new Web site www.washtrustwealth.com in November. We will soon add enhanced client portals and redesign statements to improve the online wealth management client experience. I’ll now ask David Devault to take a few minutes to review our financial results. David?
David V. Devault: Thank you, Joe. Good morning, everyone and thanks for joining us on our call today. I’ll review our fourth quarter 2015 operating results and financial position, as described in our press release yesterday afternoon. Net income amounted to $10.7 million or $0.62 per diluted share for the fourth quarter. That represented a 5% increase in net income and a $0.02 per diluted share increase in the third quarter of 2015. For the full-year 2015, net income was $43.5 million or $2.54 per diluted share. And that was up 6% from the earnings in 2014 and up $0.13 per share over 2014. The profitability results for the latest quarter continued to be very good with a return on equity of 11.52% and return on assets of 1.16%. The full-year return on equity for 2015 was 12% and return on assets was 1.19%, and both of those compared well with 2014 also. Total net interest income in the fourth quarter was $26.3 million, up $258,000, about 1% from the third quarter. The increase in net income was helped by a 1 basis point increase in the net interest margin on a linked quarter basis. The net interest margin was 3.08% and it benefited from a lower cost of interest bearing funds, which was reduced by 5 basis points from the third quarter level. The margin was also helped by balance sheet growth and we saw an increase in both average loans and investment securities in the quarter. On the balance sheet, total loans stand at $3 billion at the end of 2015, up 2.1% in the latest quarter and 5.4% in the last 12 months. These increases were led by growth in the commercial portfolio, which was up 4.7% in the quarter and almost 8% for the full-year 2015. Commercial real estate loans, which includes commercial construction, grew by $59 million in the fourth quarter and C&I loans increased by $16 million. There was a modest decrease in the residential portfolio of about 1% during the quarter, although residential loans are up about 3% from the year earlier balance. And Consumer loans were essentially unchanged in the latest quarter and are up about 2% for the full-year. The investment securities portfolio stands at $395 million at the end of December, up $50 million in the quarter, which reflects purchases of government agency and mortgage backed securities, which were partially offset by calls and routine principal pay downs on mortgage backed securities. The increase was primarily for liquidity management and collateralization purposes. Total deposits rose by 3.5% in the fourth quarter and are up 6.5% for the full-year, and total deposits stand at $2.9 billion. If you exclude wholesale brokered time deposits, the remaining balance of in-market deposits was up 2.5% in the quarter and up over 7% for the full-year. We experienced significant growth in demand and NOW accounts which rose by nearly 9% on a linked quarter basis and 21% for the full-year. We reduced our Federal Home Loan Bank borrowing position by about $3 million in the quarter and $27 million for the full-year. Noninterest income continues to represent a significant portion of our total revenues at 37% of total revenues in the latest quarter. Total noninterest income was $15.1 million, up 9% on the linked quarter basis due to several reasons. In our wealth management business, fourth quarter revenues of $9.2 million were up about $265,000 from the previous quarter. That included the impact of asset-based revenues generated by Halsey, which was acquired at the beginning of August during the third quarter. And wealth management revenues for the full-year reached an all-time high level for us at over $35 million. Wealth management assets under administration which -- predominantly assets under management stood at $5.8 billion at the end of the quarter, up about 2% from the end of the third quarter and that increase reflects appreciation in the financial markets during the fourth quarter following that declines that had taken place during the third quarter. Mortgage banking revenues, which includes gains and commissions on loans sold into the secondary market as well as mortgage servicing fee income was $2.6 million in the latest quarter, a 30% increase on a linked quarter basis. That increase is reflected by higher yield on loan sold into the secondary market. Residential mortgage loans sold were $127 million in the fourth quarter compared to slightly higher balance, $132 million in the third quarter. Loan related derivative income, which is primarily income from interest rate swap transactions with commercial borrowers amounted to $752,000 in the latest quarter, a $425,000 increase from the third quarter level. And that increase is largely due to a higher level of commercial borrower transactions executed during the quarter. Turning to noninterest expenses, we see that noninterest expenses in the quarter were $24.6 million, up modestly in total on a linked quarter basis. Included in noninterest expenses were $52,000 in the fourth quarter of acquisition related expenses related to the Halsey transaction, but $504,000 in the third quarter. If you exclude those, the remaining total noninterest expenses are up by about $475,000 or a 2% increase. The largest piece of that would be Halsey’s operating expense, the difference between the partial period in the third quarter and the full quarter in 2014 -- the fourth quarter rather [ph] and also about a $195,000 in legal, audit, and professional expenses, largely attributable to non-routine matters. Looking at asset quality, which continues to be very good for the Company. Total loans past due by 30 days or more as a percentage of loans outstanding declined by 16 basis points in the quarter and stand at 0.58% at December 31. Meanwhile nonperforming loans increased somewhat to $21 million or 0.7% of total loans are up from a fairly low level of 0.57% of total loans at the end of the third quarter. And that increase is largely attributable to two commercial loans with a carrying value of $2.9 million. We recognized a loan loss provision charged to earnings in the fourth quarter of $750,000 and that compares to a provision of $200,000 in the third quarter. The increase in the provision was largely due to the growth in the portfolio, as well as changes in loss allocations for loans in non-accrual status. The resulting allowance for loan losses stands at 0.9% of total loans at the end of December compared to 0.92% at September 30. Net charge-offs for the year 2015 were 0.07% of total average loans, which was the same as it was in 2014, 0.07% for the year. Shareholders equity is just over $375 million at the end of December, an increase of $4.9 million in the quarter and in the fourth quarter we declared a quarterly dividend of $0.34 per share paid earlier this month. This corporation and the subsidiary bank continue to be well capitalized. The total risk based capital ratio for the corporation was 12.58% at the end of December compared to 12.80% at the end of September. Meanwhile the tangible equity to tangible assets ratio was 8.11% at the end of December, down about 7 basis points during the quarter. And at this time, I’ll turn the call back to Joe MarcAurele.
Joseph J. MarcAurele: Thank you, David. Washington Trust celebrated a 215th year of service this year and we’re recognized as the oldest community bank in the country. I’m pleased that we were able to post record earnings and pay a consistent dividend to our shareholders in our anniversary year. In recent years, our story has been one of growth, but we’ve never lost sight of the guiding principles and core values that have distinguished us from our competition. At the heart of our success is our commitment to provide a meaningful solutions and superior customer service. Our steps -- our strategy in 2016 remains largely the same. We plan to continue to grow our key business lines by bringing the Washington Trust brand to more people and more places. I thank you for listening, and David, and I and Ned are available for questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question is from Mark Fitzgibbon of Sandler O'Neill. Please go ahead.
Nick Pirsos: Good morning, guys. This is Nick filling in for Mark.
Joseph J. MarcAurele: Nick, how are you?
Nick Pirsos: Doing very well, thank you. First, in wealth management we saw some net client [ph] outflows this quarter and I was just wondering, is this nearly from Halsey or what the dynamic was there?
Joseph J. MarcAurele: I’d say a balance, it was mixed. Some of them were routine outflows. I don’t know, David if you have more color on that?
David V. Devault: No, routine - no adverse trends noted in those numbers by any means.
Nick Pirsos: Fantastic. Okay. And then, I’m sure you guys saw the joint regulatory white paper on commercial real estate and I was wondering if that’s changed your outlook or tampered expectations with respect to commercial real estate?
Edward O. Handy III: Yes, Nick, it’s Ned Handy. Obviously, we are always careful. There are markets that we’ve talked about in the past where we’ve been even more careful than others. We don’t think our mix of CRE is either in the portfolio or in the pipeline is too high. We do seek to balance it out with higher C&I levels and we continue to do that and we think within our footprint there are -- there is opportunity to do that. So certainly a focus on being balanced and we’re finding that the deals that we’re looking at on the CRE side are continuing to be well structured. There is competition structure. We’ve seen opportunities where the structure has been compromised. We pass on those. We are sticking with relatively low loan to value starting points, high equity contribution, so I think we’re going about at the right way, but yes we’re being -- our level of care is heightened, put it that way.
Nick Pirsos: Okay. And then, Ned, I just wanted to ask you about the non-routine expenses you guys saw on the legal, audit, and professional fees. I guess, specifically do we expect those to recur next quarter or how we think about that?
Edward O. Handy III: No, I’d say those are one-time things that are outside of the norm.
Nick Pirsos: Fantastic. And then, Ned, just [indiscernible] around the topic, could you just share with us the size of the commercial loan pipeline?
Edward O. Handy III: Yes, it’s a little over $200 million. So it’s very healthy, despite the fact that we had a very strong fourth quarter, in particular a very strong December. So we cleaned out the pipeline, but at the same time have been building, and so it’s very healthy. And that’s the higher degree of probability part of the pipeline there’s an equally favorable amount of early stage pipeline that puts us in good position as we go forward. So I’m optimistic.
Nick Pirsos: Okay, great. And then just finally, David, could you just share with us your outlook for the net interest margin?
David V. Devault: Well, some of the actions that we had taken in the fourth quarter, you can see that we were able to reduce the interest bearing cost of funds, that’s built in now I would say to ongoing margin, so then you have the modest benefit that might be attributable to the short-term interest rate increase that was formal data, I guess, by the Fed last month. So I would say that the margin has more stability than it had over the last four or five quarters where there had been some continued erosion. So that’s how we’re looking at it at this point.
Nick Pirsos: Okay. Thank you very much.
David V. Devault: Thanks.
Operator: Thank you. The next question is from Travis Lan of KBW. Please go ahead.
Travis Lan: Thanks. Good morning, everyone.
Joseph J. MarcAurele: Good morning, Travis.
Edward O. Handy III: Good morning, Travis. How are you?
Travis Lan: I noticed that money market cost to sell in the quarter, I just wondered if you could talk about the competitive deposit pricing environment that you’re seeing.
David V. Devault: Well, that was the major driver of how we were able to reduce the overall cost of interest bearing funds and we made some business decisions there to bring about those changes. And that being said, it certainly is competitive although we’re certainly not -- we’re not seeing any pressure at this point from, in the marketplace for increases in deposit rates which is obviously beneficial. So we’re just trying to manage it as prudently as we can and keep our eye on it very closely.
Travis Lan: Okay. Do you expect on the mortgage banking side, do you expect any negative impact from TREAD [ph] going forward?
David V. Devault: TREAD [ph] for us has manifested itself in a couple of things. We’ve certainly had to beef up the way that or respond in time to the additional regulatory needs imposed by TREAD [ph], which we believe we have done very successfully. Some of the investors have brought a new look to the types of loans and the documentation associated with loans that they will purchase, but by in large we have been able to work with them successfully to continue to sell product into the secondary market with -- really out any hiccup.
Travis Lan: Okay. Could you maybe talk a little bit about the feel of the local economy split maybe if you could between Rhode Island and Connecticut? Obviously the credit performance continues to be very good, but we’ve heard as that kind of -- I don’t know, I would say that they’re just I feel like more concerned about the broader economy out there today than there was maybe 6 or 12 months ago. So maybe just a little bit of commentary on how your local borrowers are feeling, how you feel able the local economies?
Joseph J. MarcAurele: Travis, its Joe. I would say that on balance if you went back two or three years ago, particularly in Rhode Island the overall feeling of the consumer end, our business customers is more positive. I would say that there has been some kind of negative things that have crept into the economic sense particularly in the equity markets in the last few months, maybe five months. All that being said, we see particularly our commercial customers being, I would call it slightly more optimistic than what we had seen previously. Again, we don’t have our pulse on it day to day, but on balance I think it’s a little more positive than it was even a year ago.
Travis Lan: Okay, that’s helpful. And then how does that maybe kind of guide the loan growth outlook, I think you’re around 5.5% this year, is that kind of a, and does that seem like a reasonably expectation going forward?
Joseph J. MarcAurele: Yes, I would say that, we have guided over the last few years to more higher single digit loan growth. I think that given some of the possibility of continued commercial real estate payouts in our portfolio, we feel more comfortable with mid single digits, we feel so that’s something we could guide to.
Travis Lan: Great. Okay, and then last one is, is David if you just have a sense for the tax rate going forward?
David V. Devault: The expected effective tax rate for us for 2016 would be 33%.
Travis Lan: Great. All right. Thank you all very much.
Joseph J. MarcAurele: Thanks, Travis.
Operator: [Operator Instructions] And the next question is from Laurie Hunsicker of Compass Point. Please go ahead.
Laurie Hunsicker: Hi. Good morning.
Joseph J. MarcAurele: Good morning, Laurie.
Laurie Hunsicker: I wondered if we could start back with expenses. Did you all have a charitable foundation contribution this quarter?
Joseph J. MarcAurele: We did not.
Laurie Hunsicker: So is that something now that won't be there going forward or it just happened, you took a pass this year?
Joseph J. MarcAurele: We did not do one in the fourth quarter this year. We had done that in the fourth quarter of last year, the foundation is well funded and it did not need that. So it’s something that we will monitor and do as necessary in the future.
Laurie Hunsicker: Okay. And then to the extent that you mentioned new technology and re-branding specifically with wealth management that that is going to continue, how should we think about that on the expense line for 2016?
Joseph J. MarcAurele: The building of ongoing costs associated with that should be relatively modest. The branding is certainly not expensive. The technology part is part of our plans and we don’t think it would show up in any way as unusual in our total operating expenses.
Laurie Hunsicker: Okay. And then, on your de novo branches, obviously you have laid out for us today you were opening one right at the end of last fall in the Eastern Providence that you just step in. How are you thinking about de novo branching for the rest of this year?
Joseph J. MarcAurele: Laurie, I would say that we are -- we are not going to open anything during this year.
Laurie Hunsicker: Okay.
Joseph J. MarcAurele: We have a couple of sites in mind for potentially future years. I would say that, we’re very happy with the branches that we have opened. However we are not ignorant to the fact that retail branching and the retail banks delivery system in general is something that is changing. And to the extent that we can continue to do these for relatively modest costs, all of the ones that we’ve opened recently are much smaller, much more lightly staffed. But we would like to take advantage of what has been a very strong state wide brand. But right now, this isn’t the only one that we would open this year.
Laurie Hunsicker: Okay, great. And then, can you share with us your assets under management in terms of your goals or how you think about maybe trying to do another acquisition in that area?
Joseph J. MarcAurele: Well first of all, obviously we’re very pleased with our wealth management business and we like it from a scale perspective and a profitability perspective. We are very happy with the Halsey acquisition. Our attitude toward continued acquisition in that space has everything to do with first price, and secondarily once we acquire it, can we in fact grow it? So while we don’t want to get out of balance from a size standpoint with wealth management. We are always interested in looking at things. We’ve looked at a lot of things. It really is a lot of our cultural fit, the market and the price and whether we can grow it.
Laurie Hunsicker: Okay. And if you think about, as we fast forward to the end of this year, where do you expect your assets under management to be or do you have a target goal?
Joseph J. MarcAurele: Laurie, it’s highly dependent on the market.
Laurie Hunsicker: Sure.
Joseph J. MarcAurele: I mean, we certainly have a very robust new business effort every year. But you can't generate enough brand new business to out-script either positive or negative effects in the market. I guess my hope is for the market to go ahead at a reasonable rate, but that, that part of the business is unpredictable.
Laurie Hunsicker: Okay. Sure. Great. And then just one last thing on credit; David, can you just walk us through and your credit is pristine here, but you did have a little up tick in your commercial real estate non-accruals, and also your C&I non-accruals. Can you just walk us through those two categories and if there is any sort of bigger macro trend that you’re focused on, I mean certainly you already made some comments around commercial, but just specifically in those two areas? Thanks.
David V. Devault: Definitely not a trend that we can see that would be, that you could extrapolate to a larger population. These were two one off instances that happened to both going to non-accrual during the quarter and it made up towards the majority of the increase in non-accrual loans. Looking at the facts behind them that with which we have done, there is nothing there that you could say is working in the portfolio as a result or learned from those experiences, they’re really one off situations.
Laurie Hunsicker: Okay. And can you give us any color around the increases there?
David V. Devault: Again, the larger piece of that was a commercial real estate loan, and the smaller piece was a C&I loan and they are appropriately reserved and with the loss allocations on them that we believe is adequate and appropriate.
Laurie Hunsicker: Okay. And will you remind us, what is your average LTV on your commercial real estate book, approximate?
David V. Devault: Well, it’s probably better if we talk about our standards for that on new loans.
Edward O. Handy III: Laurie, its Ned. As I mentioned earlier we’re finding new real estate loans to be at favorable loan to values offset in some cases by, we’re seeing some extended interest only periods. So I think of that as low loan to value and interest -- longer interest only period I think of it is sort of pre-amortized. To an extent, we want to be careful about that. But our existing book is coming in somewhere in the 65% to 70%. I would say our standards for it are, I would say on average 75% loan to value is kind of our underwriting norm, but we’re seeing that the loan to values today are coming in lower at very low cap rates. So we’re also conscious of that and we stress cap rates in all of our underwritings to make sure that we’re -- we’re not fooling ourselves. So it’s dynamic. I like to favor lower loan to value and higher equity contributions in this kind of a market place with cap rates where they are, and so that’s our sort of outlook and our attitude about it today. But I would say our star credit policy still has us able to do a 75% loan to value, but I would say we’re trending lower.
Laurie Hunsicker: Okay. Great. And then just one last question, Joe this is for you. As you think about dividend here and obviously you’re a nice high yielder at the moment. How do you -- how you approach payout ratio going forward? Do you have a goal of a 50% payout or a threshold, how do you think about that?
David V. Devault: This is Dave. I would say that we are in a mode where given the, that balancing the earnings retention capacity of the company and the growth trends of the company that something in the 50% to 55% payout ratio makes sense for us. So that’s how we’re viewing that.
Laurie Hunsicker: Perfect. Thank you.
David V. Devault: Thanks.
Edward O. Handy III: Thanks, Laurie.
Joseph J. MarcAurele: Thanks, Laurie.
Operator: Thank you. We have no further questions at this time. I’ll turn the conference back over to Mr. MarcAurele for any closing comments.
Joseph J. MarcAurele: Thank you. Well, first of all we appreciate everyone’s participation in the call. We hope that we have provided you with adequate information and we look forward to talking to you at the end of the first quarter. Take care.
Operator: Thank you. Ladies and gentlemen, the conference is now concluded. Thank you for attending today's presentation. You may now disconnect, and have a wonderful day.